Operator: Good day, everyone, and welcome to VeriSign's Second Quarter 2009 Earnings Conference Call. As a reminder, today's conference is being recorded. At this time I would like to turn the conference over to Miss Nancy Fazioli. Please go ahead, ma'am.
Nancy Fazioli: Thank you, operator. Good afternoon, everyone, and thank you for joining us for VeriSign's Second Quarter 2009 Earnings Conference Call. I'm Nancy Fazioli in investor relations and I’m here today with our Executives Jim Bidzos, Mark McLaughlin, and Brian Robins. Please note that this call and accompanying slide presentation are being webcast from our investor relations website located at investor.verisign.com. Please refer to our website for important information including the Q2 2009 earnings press release and a reconciliation of our GAAP to non-GAAP information. A replay of this call will be available on our website within a few hours. Today's slide presentation will also be available for download after the call. Financial results in today's press release are unaudited, and the matters we will be discussing today include forward looking statements, and as such are subject to the risks and uncertainties that we discuss in detail in our documents filed with the SEC, specifically the most recent reports on Forms 10-K and 10-Q and any applicable amendments which identify important risk factors that could cause actual results to differ materially from those contained in the forward looking statements. Additionally, financial results in today's press release and the matters we will be discussing today include non-GAAP measures used by VeriSign. Our non-GAAP income statement and a description of items excluded from our non-GAAP financial information are located on the VeriSign investor relations website. In a moment, Jim, Mark, and Brian, will provide some prepared remarks and afterward we will open up the call for your questions. Unauthorized recording of this conference call is not permitted. With that I would like to turn the call over to Jim. Jim?
D. James Bidzos: Thanks, Nancy, and good afternoon to everyone joining us today. I'm pleased to report that VeriSign met or exceeded the goals that we laid out for you last quarter. Second revenue in our core businesses was $255 million which represents 9% growth year over year. Our non-GAAP core operating margin for the quarter was 38.4%. This quarter we again had some favorable events on the revenue and expense side, which Brian will detail for you later. Non-GAAP earnings per share was $0.31, ahead of our internal plan, which represents 29% year-over-year growth. On the cash side, our year-to-date operating cash flow is approximately $120 million and we have over $1.3 billion in cash and equivalents on the balance sheet. From a big picture perspective, while there appear to be glimmers of economic improvement, we continue to be concerned about the macroeconomic outlook for the foreseeable future. We have repurchased over $70 million of stock from the fourth quarter until now and believe that a continued, cautious, disciplined approach to capital management is prudent in this environment. Turning to the non-core businesses, we currently have only two of the original 13 businesses, our messaging and our global security consulting businesses remaining for sale. We completed the sale of Managed Security Services or MSS, in July. We're continuing to work hard to see this restructuring process through to completion as expeditiously as possible. We have made significant progress on the strategy that we laid out for you in November, 2007, showing resolve in a challenging market. We remain confident that becoming a more focused company is the right strategy to move us forward. We will continue to protect our core franchises of naming and business authentication or SSL, while prudently investing in growth opportunities that leverage our existing infrastructure. Before I conclude my remarks and pass the call over to Mark, I want to address two items. First, as many of you are aware on June 5th the Ninth Circuit Court of Appeals reversed an appeal, the May 2007 US District Court dismissal of a case filed against VeriSign by the Coalition for ICANN Transparency, or CFIT. In the opinion, the case was remanded to the US District Court for the Northern District of California for further proceedings. On July 2nd, 2009, VeriSign filed in the Ninth Circuit, a petition for rehearing which is pending. Although we understand that the details of this case are of interest to investors, as a public company we're able to say very little about pending litigation. We will continue to defend this case vigorously and we remain confident in our position. Finally it gives me great pleasure to announce two important and very well deserved executive appointments that were made by the board of directors this week. Mark McLaughlin has been appointed Chief Executive Officer effective August 17th. He has also been appointed to the VeriSign Board of Directors. You've heard me say over the last year that I thought it more important to get the right person for the position of CEO than it was to get someone as soon as possible. I wanted to ensure that the next leader of VeriSign would be bringing strong technology skills to all of our core businesses, a strong set of values to unify the company, and firm leadership to take us forward. Mark has proven himself to be that person and more. Since rejoining the company in January he's demonstrated the kind of leadership needed to help us set a course for the future. With the opportunities and challenges ahead, I am very confident that Mark is the right person to lead the company forward. Also on Tuesday, the board voted to make Brian Robins Chief Financial Officer on a permanent basis. His appointment is effective immediately. As you know, Brian has been acting CFO since April of 2008. We did conduct a search outside the company for a CFO, but during that process it became clear that Brian was not only qualified for the position, but that he had demonstrated the leadership and initiative we were seeking. The last year has been one of solid execution in financial growth for VeriSign and it simply could not have happened without Brian's leadership, drive, and commitment. This will be my last earnings report as VeriSign's CEO, but as I’ve stated over the last year, I will remain very involved as Executive Chairman of VeriSign. I was named permanently to that position this week and in that capacity I'll focus primarily on strategy, technology, innovation, and research. I look forward to continuing to work with the management team as we move the company forward. With that I’ll turn the call over to Mark. Mark?
Mark D. McLaughlin: Thanks, Jim. Good afternoon. I'm appreciative and excited to have the opportunity to lead the company at this point in our history. I'm confident in our ability to show continued leadership in our core businesses as well as move forward in a disciplined manner. It's a privilege to be part of such a critical function of the Internet infrastructure and to work with such a talented team. I'd like to thank that team for the continued hard work that produced another strong quarter. And turning to the business unit operating results for the quarter I’ll start with naming. In our naming business, the adjusted zone for registered name in .com and .net totalled 93.5 million names at the end of the quarter. This is an increase of 1.1 million net names added to the adjusted zone quarter over quarter and a 7% increase in net names year over year. In the second quarter we processed 7 million new domain name registrations compared with 7.3 million names in Q1, 2009. And looking at renewal rates you may recall that the renewal rate for Q1 rounded up to 71%, which is up from 70% in Q4, 2008. While renewal rates are not fully determinable until 45 days after the end of the quarter, we believe that the renewal rate will be between 70%-71% for the second quarter. As we look forward to the third quarter, which traditionally is a low seasonality quarter, we believe that the adjusted zone for the naming base will grow by a net change of 900,000 to 1.2 million names and that the renewal rates will be between 70%-71%. On the infrastructure side of the naming business, our average daily query load during the quarter increased from 38 billion to 49 billion per day. Despite the increased load, this quarter we again maintained our record of 100% uptime which allows us to continue to provide best in breed services for .com and .net We believe this demonstrates operational excellence and is a primary reason that the world looks to us to run this important asset. As the Internet evolves, so does the sophistication of attacks on the network, as several recent well-publicized cyber techs demonstrate. Continued investment in DNS is essential in order for VeriSign to handle this growing complexity associated with continued Internet adoption, geographic expansion, as well the increasing number of directed attacks on our network. As we approach 2010 we are on track to have more than 100 points of presence capable of handling over 4 trillion interactions per day, and we are hard at work planning for future requirements as we aspire to continued operational excellence. Now moving onto authentication services, in business authentication or SSL, we saw the installed base of certificates increase to 1.17 million certificates n the second quarter compared to 1.15 million last quarter and approximately 1.05 million in Q2, 2008. This represents an 11% year-over-year growth in the base. The installed base of extended validation or EV certificates continue to trend at more than doubling during the quarter and we remained the market leader share for EV. The adjusted annualized average unit revenue or AUR for the installed base of VeriSign, GeoTrust, and Thawte branded certificates for the second quarter was $241 which compares to $244 for the last quarter. We continue to see the lower end of the market growing faster on a unit basis in the high end. Given this mix shift, our GeoTrust brand continues to grow faster than our overall portfolio. In addition, at the higher end brand segment of the market we continue to see some of our customers in this economy carefully managing their inventory certificates, as well as requesting discounts and price reductions. These dynamics are likely to continue to lead to similar AUR declines for the foreseeable future. Finally, in our user authentication business or IAS, we have distributed over 2.4 million credentials as part of the zip and one-time password or OTP programs. This includes approximately 35,000 downloads of our mobile OTP application for smart phones that we introduced last quarter. On the infrastructure side of the authentication business during the first quarter we reported a new milestone of over 1 billion certificate checks a day. This milestone underscores our ability to meet the increasing scalability requirements of Internet commerce as more people transact online with sites secured by VeriSign, than with any other certificate authority. In summary, our business performed well in the first quarter, which is a testament to our team and our business model. I'll now turn the call over to Brian for a review of our financial results. Brian?
Brian G. Robins: Thanks, Mark, and thanks to everyone for joining us this afternoon. Before we dig into the core operating results I wanted to provide some commentary on the divestitures. To date we have sold 11 out of 13 bundles raising an excess of $575 million. In the second quarter we sold communication services, international clearing, and our real-time publishing business. The MSS business closed subsequent to the end of the second quarter. We are in advanced negotiations to sell the two remaining businesses, messaging services as well as global security consulting, which we broke out the enterprise security bundle last quarter. As we discussed before, we continue to manage these businesses with the divide and focus management approach. I'd like to thank the employees and the divest groups for their focus, passion, and execution, during this transitional time. The divest group's bottom line continues to be ahead of plan. Last quarter we announced we will be holding an analyst day on November 19th in New York City. Invitations will be sent out in September. It will be a half-day of presentations by management that will also be available via webcast. Prior to the event we will post a high-level event on our IR website. We are looking forward to it and hope to see many of you then. Moving now to a more detailed discussion of results for our core business, revenue for our core businesses was $255 million, up 1% sequentially and 9% year over year. Growth was largely driven by continuing strength in our naming services with revenue up 15% year over year. Our non-GAAP core operating margin was 38.4%. This represents approximately 150 basis points of upside to Q1. The operating expense improvement that we saw this quarter was better than expected and should be categorized in two categories. First, the quicker realization of savings related to cost-savings initiatives that were introduced at the company, and secondly, one-time expense and revenue benefits. Below the operating income line we incurred a loss of approximately $10 million for our core operations. This loss was roughly in line with what we expected due to lower interest income and is consistent with what we expect in future quarters. 1.6 million and a 10 million loss is non-cash related to our convertible debt accounting, APB 14-1 adopted at the beginning of the year. Non-GAAP core net income for the first quarter was $61 million, resulting in non-GAAP earnings per share of $0.31. The diluted share count used in EPS calculations was 193 million shares, flat quarter over quarter in light of share repurchases in Q2 of approximately $20 million. Moving onto the cash flow and balance sheet items, operating cash flow was approximately $83 million in Q2 which excludes $68 million of excess tax benefit associated with stock-based compensation, (inaudible) from operating cash flows to financing cash flows, and impacts to operating cash flow related to the divestitures. Consolidated capital expenditures were $20 million in the quarter and $41 million year-to-date. We anticipate capital expenditures to be in the 6%-8% of core revenue range moving forward. We ended the quarter with a strong balance sheet with ending cash and cash equivalents of $1.3 billion, up approximately $366 million from last quarter. During the quarter we received divestiture proceeds of approximately $230 million as well as distributions from the reserve fund of approximately $24 million. There remains $32 million from the reserve fund that is currently classified in other current assets. Net consolidated DSO for the fourth quarter was 30 days, down one day from last quarter. Deferred revenue from continuing operations ended the quarter at $878 million, up $6 million or 1% from last quarter. We ended the quarter with approximately 2,800 employees, down 400 from last quarter, primarily stemming from the divestitures. As previously discussed, we expect headcounts to continue to decline with the sale of non-core businesses stabilizing at approximately 2,000 employees including VeriSign Japan. Moving onto our outlook, for Q3 we expect revenue for the core businesses will be $256-$260 million, or relatively flat to up 2% for the quarter. With regard to fiscal year '09 guidance, given the swings in FX rates and the continued impact to the business from the global economy, we expect our year-to-year revenue growth will be in the 8%-10% range. We expect Q3 non-GAAP operating margin to be in the range of 37%-39%. To wrap up, we believe we have executed well in the first half of the year and are pleased with our performance as we continue to execute against our divestiture strategy. The second half of the year will bring challenges and opportunities, but we remain intensely focused on meeting our short-term goals as well as further unlocking shareholder values longer term. We would now like to open up the call for your questions. Operator?
Operator: Thank you. Today’s' question-and-answer session will be conducted electronically. (Operator's Instructions) And it looks like we'll take our first question from Rob Owens with Pacific Crest.
Rob Owens - Pacific Crest: Great, thank you. A couple of questions, you mentioned that there were some one-time benefits on both the revenue and expense side, I was just curious what that was? And with effectively a guide-up in revenue, what could drive operating margin down quarter over quarter given that we should expect maybe some divestitures or employee headcounts reduced from here?
Brian G. Robins: Thanks, Rob. There was really two items that happened. In previous calls I talked about the statement of works that we have. We actually completed that early and acceptance was received there’s $1.5 million of revenue that we planned on receiving in the third quarter that we received in the second quarter. Now that's complete so we won't have that on a go-forward basis. In the operating expense line we had a contra-expense item of approximately $1.3 million related to a legal reimbursement, and so if you take the revenue and the expense, you're approximately at 37.5% operating margin and so we'll be at that or above in third quarter.
Rob Owens - Pacific Crest: Okay. Great, thanks.
Operator: And we'll take our next question from Sterling Auty with JPMorgan.
Sterling Auty - JPMorgan: Yeah. I want to follow up. Brian, so the difference between the 257 and the 255, was that the statement of works, is what you’re saying, or was that discontinued? Because I just want to kind of get an apples to apples between what our models had before and what the new guidance represents.
Brian G. Robins: Yeah. So the difference between the 257 and the 255 is we have continuing operations which is broken down between core and non-core because we're winding down our prepaid business. There’s roughly about $1.5-$1.6 million of prepay revenue. That gets you down to the 255. Then the 255 was bumped up $1.5 million by what I just alluded to.
Sterling Auty - JPMorgan: Okay. Got it. And then one follow up question, in terms of the naming business, Mark, as you look at it you add 1.1 million names, you got the outlook for September, can you just kind of talk and give us some color in that business? We had all the ad sense changes, the advertising names that have been coming out, how do you feel about the naming business? Has it stabilized, and do you think you'll see that improvement once you get passed the seasonally weak third quarter?
Mark D. McLaughlin: Yeah thanks, Sterling. I feel pretty good about because as you look at the new registrations in the quarter we had 7 million new registrations. In Q1, which is a stronger quarter, we had 7.3, and that was up from 6.3 in the fourth quarter. So we're seeing from a trending standpoint, new registrations had trended down through the whole PPC period to a low of 6.3 in Q4 '08 and then went to 7.3 in Q1 and are now at seven in a weaker seasonal quarter. So I think we've seen some stabilization from a new unit registration standpoint. And then as you look at the renewal rates, on the renewal rate side it's 70%-71% with a bleed-off of the things we discussed that happen in 2008 with the PPC and the ad changes. I think we are seeing that stabilize as well. So Q3 is the seasonally weakest quarter, but it looks like stability there.
Sterling Auty - JPMorgan: All right, great. Thank you, guys.
Operator: And we'll take our next question from Todd Raker with Deutsche Bank.
Todd Raker - Deutsche Bank: Hey, guys. Following up on the question on the naming side, historically you have given us some insight traditional versus PPC, any ability to kind of give us what traditional net ads looks like?
Mark D. McLaughlin: Hey, Todd. Yeah, so on the traditional versus PPC side — the PPC business as you know is kind of tailed off dramatically over time with all the changes. It still exists and it's in the range of hundreds of thousands things versus the millions for traditional. So there's really not a big difference anymore as far as what people are using the names for so there's pretty much the same thing at this point.
Todd Raker - Deutsche Bank: Okay. So if I look at the first quarter where traditional, I think, was 2.1 million, given the net number here of 1.1, is it fair to say that the traditional business is decelerating and how much of that is seasonal versus a macro issue and how should we think about that going forward?
Mark D. McLaughlin: Yes. I think last time on the traditional side we had 2.1 in Q1 '09 and then just looking on on-line ad names in the hundred of thousands range. So the traditional base has slowed down some, I think as a result of the macro economy, and then on a quarter-over-quarter basis we had a few things that we didn't have this quarter. We had the run-up from PPC in Q1 as people were trying to get in front of the last change to the system in there. We had some seasonality in there and there was also promotional programs that people, including us, tail off in the second and third quarter just because it's the low seasonal quarters and it doesn't make a lot of sense to spend the promotional money on that.
Todd Raker - Deutsche Bank: Any sense for whether or not we should be thinking about Q3 as kind of the low watermark here, or do you think there is potentially further weakness from a macro perspective?
Mark D. McLaughlin: I think that the third quarter historically is the seasonally weakest quarter so I have no reason to believe that that wouldn’t change in that case, but other then that I don't see any reason to believe that we haven't stabilized on a unit basis.
Todd Raker - Deutsche Bank: Okay, thanks.
Operator: And we'll take our next question from Katherine Egbert with Jefferies.
Katherine Egbert - Jefferies: Hi, good afternoon. You have a contractual right to take another price increase on both .com and .net, can you tell us whether or not you plan to do that?
Mark D. McLaughlin: Yeah. As was mentioned before on the price increases, we look at those very, very carefully and really two things we continue to watch on that is the economy and the ecosystem. The economy looks like it's maybe stabilizing a little bit, but our channels don’t feel wildly optimistic about it yet with our discussions with them. And on the ecosystem side, as I mentioned before, it's important for us that we know the folks that are important in the ecosystem and that they know what we do — they appreciate that and that way they know that we provide great value for our services. So we continue to do that. No new news on this other than we continue to look hard at looking at all these factors.
Katherine Egbert - Jefferies: Mark, but there's a deadline on the next price increase of next July, so you'd have to notify by the end of this year, right?
Mark D. McLaughlin: The notice period is six months before doing any price increase, so if what you mean is when is the last time that you could put a notice in for a price increase before you threw one away, then that would be next July.
Katherine Egbert - Jefferies: Right. Okay, and then just quickly on the CFIT litigation, do you plan to continue the process, and how much are you spending on legal fees per quarter now?
Mark D. McLaughlin: So we have to be very careful about what we can say here so really all we can talk about is the procedural aspects so we have filed a motion for a rehearing which we're waiting on. We are very confident in our case and would seriously consider exhausting all procedural avenues that we have in the case. So other then that I really can't say anything. From a legal standpoint I'll ask Brian to comment on that.
Brian G. Robins: And on the expense side side, nothing material is included in the guidance that we gave you of 37%-39% for next quarter.
Katherine Egbert - Jefferies: Okay. Congratulations on your promotions.
Operator: And we'll take our next question from Phil Winslow with Credit Suisse.
Phil Winslow - Credit Suisse: Hi, guys. Just wanted to focus on operating expenses going forward. I think you all talked about sort of reinvesting in the company, potentially looking at adjacencies. The past few quarters have really showed some strong operating margin upside and guiding 37-39 for Q3, how should we just think about just the margin structure this company longer term in three to five years, but also over the next 12-18 months as you get the efficiencies from the divestitures, but also invest in new segments?
Brian G. Robins: Hey, Phil. This is Brian. I'll take part of it and then I'll turn it over to Mark and let him take the second part. So we haven't given long-term guidance. I'll let Mark go through sort of long-term from a company perspective and philosophy perspective. But from a short-term side we've talked about we're doing a number of things around the company on trying to be more efficient and increase margins and leverage the access that we currently have and so on the divestitures we’re able to take out a lot of expense through the divide and focus management that we did to be able to achieve what we've achieved, accent the divestitures, get them done. Now that the divestitures are being done, we're taking a sharp focus on our shared-services organizations as well as some inefficiencies that we have in our facilities and data centers and looking at consolidating those. When we've given out our guidance previously I’m saying that we'll be incrementally up quarter over quarter, that's been baked into those numbers. So we haven't give a fourth quarter guidance or margin, but we said each quarter would be incrementally better than the prior quarter, and we have a number of programs internally where we're looking at leveraging the business and taking costs out.
Mark D. McLaughlin: The current range on the margins we've been operating at allows us to invest to where we need to. In addition — as well as including what we need to do to help develop the long-term focus, so as far as the development efforts we're doing around that and getting back to some product parity in some of the places we’ve under invested. So we believe that in the range we're talking about today with continued improvements where we can make them, we've got what we need in order to figure out the longer term. On a longer-term basis, also no reason for us to believe at this point that it would be substantially different then what we're delivering today, even with investment in future services.
Phil Winslow - Credit Suisse: Great. Thanks, guys.
Operator: And we'll take our next question from Kash Rangan with Merrill Lynch.
Kash Rangan - Merrill Lynch: Hi, thank you very much. I was just wondering if the CFIT litigation is causing any — well, I’m not asking you to cause on that particular issue itself, but is it causing any disruption in the end market in how prospects are looking at signing up with VeriSign, or for that matter, your partners, or is it not causing any disruption at all from where you see your business? That's it for me.
D. James Bidzos: From everything we've seen at this point there is no impact on our end business whatsoever from the litigation.
Operator: And we'll take our next question from Steve Ashley with Robert W. Baird.
Steve Ashley - Robert W. Baird: I have a question about cash flow. It looks like you've now reclassified some of the excess benefit you were getting from stock-based comp. I'm assuming that's permanent going forward, so what kind of cash flow from operations might we expect to generate on a quarterly basis going forward?
Brian G. Robins: Good question on cash flow. As you know we don't break out our balance sheet between continuing and discontinued operations so the cash that's represented in our cash flow statement is operations from all of our businesses. Now, FASI requires us to put the tax benefits from stock option exercises and stock option related NOLs to be classified as financing activity as opposed to operating activities. So as we sold three divestitures this quarter there was a number of things that took place that actually impacted operating cash flow. In operating cash flow it's a use and then in financing it's a source. And so if you take the $83 million and then on a tax affected basis utilize our NOLs, you add approximately $45 million as our tax from operations this quarter with the utilization of NOLs at about $128 million. On a go-forward basis we've talked about cash from the business will be approximately $350 million.
Steve Ashley - Robert W. Baird: And just a lot of moving pieces and kind of fluid in terms of headcount given the divestitures that are occurring, but are you also hiring at this point and can you just talk about your hiring activity and if you are, where within the organization?
Brian G. Robins: Yeah, good question. I mean every quarter we report net decreases in headcount, but as we look to invest in new areas and look to explore these new areas, we have a number of (inaudible) open that we continue to hire agents where they're very specialized people to fill gaps in the organization, but the net decreases is more exiting than coming on. So you'll see a net decrease quarter to quarter.
Steve Ashley - Robert W. Baird: Thank you.
Operator: And we'll take our next question from Sarah Friar with Goldman Sachs.
Sarah Friar - Goldman Sachs: Great. Thanks for taking my questions, two for you. The first of them asks the self-cert. side on the pricing side. When do you think we can reach effectively a low watermark there as macro versus competition start to balance out, and maybe more importantly EV certificates can become a big enough piece of the base to actually make a difference? And then I have a quick followup.
Mark D. McLaughlin: Hey, Sarah. So on the AUR side as far as the price declines, I think we're going to continue to see these price declines for the foreseeable future for a number of reasons like I said. The first one is we do see the lower brands growing at a higher rate so there is a unit mix going on there, and I think that's the primary driver. And then we are seeing some negative impacts to the economy as well, and I don't see any reason that those two things are going to change anytime soon so I can't call a bottom on that. I wouldn't want to try to call a bottom on it right now, but we're not seeing really, really steep declines around the AUR. And on the EV side, we’re happy every quarter to report that we've doubled every quarter on the EV side. It's still a smaller base than we would have liked or anybody would have liked at this point so we have a very robust migration marketing campaign in place for people to go from SGCF to EV and we see good adoption on that, but I think it's still going to be some time before that becomes a majority of the base of our certificates.
Sarah Friar - Goldman Sachs: Okay, great. That's great color. And then just a followup which is a bigger picture question. The CFIT lawsuit, I think the bigger issues for investors is it just raises somewhat of a sensitivity around the .com renewal. Do you have any ability or would you even consider bringing that renewal forward to kind of get the overhand gone and past you, or are you just waiting until 2012 and let the contract renew as it’s currently set?
Mark D. McLaughlin: Yeah. The renewal is in 2012, Sarah, and we really can't comment beyond that.
Sarah Friar - Goldman Sachs: Okay, fair enough. I echo Katherine's thoughts, congrats to both you and Brian as well.
Mark D. McLaughlin: Thank you very much.
Brian G. Robins: Thank you, Sarah.
Operator: (Operator's Instructions) And we'll take our next question from Kerry Rice with Wedbush.
Kerry Rice - Wedbush Morgan: Thank you. A couple questions on the SSL business. Can you talk a little bit about seasonality there? Is Q3 also the seasonally weakest quarter there, and I guess if the economy stabilizes and improves, would you expect to see a pickup in SSL certs? And then the second question is can you talk a little bit about the iDefense and what the revenue was there and what trends you see going on there?
Mark D. McLaughlin: Yeah, sure. So on the SSL side, Kerry, we do see a similar kind of seasonality we see in the DNS business on the SSL side of the business and I would definitely expect the SSL business to pick up if the economy picked up. As I've mentioned before, the economy is tied to a number of things obviously that are much better correlated to our business like ecommerce and Internet advertising. So I think if those things pick up with a better economy we would see that business do better than it is right now from a sales standpoint. And on the iDefense question, we said that iDefense was doing around $10 million for the year in revenue and that's the case. We're on track to do that.
Kerry Rice - Wedbush Morgan: Thank you.
Operator: And we'll take our next question from Walter Pritchard with Cowen and Company.
Walter Pritchard - Cowen and Company: Hi. Just one question on the certificate side, one question on both — I guess, Mark, if we were able to see AUR by segment, not overall but by say by VeriSign brand, Thawte brand, GeoTrust brand — is the AUR stable within each segment or are you seeing pressure within those independent mix?
Mark D. McLaughlin: On the mix side from the brand standpoint — back to the units, the lower grow units grow faster than the higher-end units so you'd see from an AUR standpoint, less impact there and more impact to the higher brand. But as a general matter, Walter, the total AUR is fairly similar across the brands as far as the increases and decreases. Not one thing is moving the number, if that is what your question is.
Walter Pritchard - Cowen and Company: So it's not necessarily just mix that's pressuring the AUR, it's also pressure within each individual segment?
Mark D. McLaughlin: Yeah. There's different kinds of pressures in the segment, but yeah I think there's definitely a market impact and then there's the next impact.
Walter Pritchard - Cowen and Company: Okay. And then just second question on both businesses, are you seeing any significant difference in term length versus a year ago, say people buying more one-year certificates or people buying shorter name?
Mark D. McLaughlin: We're not seeing that. On the average term life we're not really seeing any significant difference on the domain name side of the business, and on the SSL side of the business we see a little bit of a decline around that. We do see pressure about people buying less more frequently than they were before, but nothing really noticeable in the ATLs.
Walter Pritchard - Cowen and Company: Got it. And then, Brian, on the operating expense line it looks like there might have been a little bit of reclassification going on between things like sales and marketing, cost of revenue, and G&A, are we correct there, and if so, what's going on?
Brian G. Robins: Yeah. This quarter we did move some G&A — some international facilities cost to where the people were by cost site. There was actually a larger decrease in G&A relative to the spend initial savings that we have, the savings programs. And then in sales and marketing this quarter we actually did a lot of planned lead gen loyalty product and branding and so you'll see sales and marketing get back down next quarter.
Walter Pritchard - Cowen and Company: Okay, great. Thanks a lot, and both of you congratulations as well on the appointments.
Brian G. Robins: Thank you very much.
Operator: And we'll take our next question from Craig Nakervis with First Analysis.
Craig Nankervis - First Analysis: Yes, thanks very much. On the registry side, can you talk about overseas strength? Are you seeing anything sustainable like you saw in Q1? I think China did particularly well, maybe start there.
Mark D. McLaughlin: Yeah, sure. We've mentioned prior the base of names on the international side depending on how you cut it from where the registrar versus the registrant is, is anywhere from 35%-40% of the base. So it's a smaller portion of the base than the domestic, but we do see that grow at a faster rate than the domestic and that continues to be the case and that growth continues to come from the BRIC countries as well as some increases we're seeing in (inaudible).
Craig Nankervis - First Analysis: And how about on the SSL side, incremental color on the buying environment? I know in Q1 you talked about a tough environment, and it sounded like you were saying similar things. Well, was there any incremental change from your perspective and how it looks in the end market?
Mark D. McLaughlin: No. We're seeing the same macroeconomic impacts on the flow down of the market, but nothing different quarter over quarter.
Craig Nankervis - First Analysis: Okay. And then lastly, Brian, are you willing to approximate the revenue breakout from the different line items this time around or not?
Brian G. Robins: It's roughly about 60% naming and 40% authentication.
Craig Nankervis - First Analysis: Thanks very much.
Mark D. McLaughlin: Thanks, Craig.
Operator: And well take a followup question from Sterling Auty with JPMorgan.
Sterling Auty - JPMorgan: Yeah. Just one followup, I don't know if you touched upon it and if you did I missed it and I apologize, but deferred revenue I think was up 1% sequentially, can you just go into what might be impacting that either positively or negatively and could part of it be the SSL term-length shortening?
Brian G. Robins: Good question, Sterling. We had a number of factors impacting deferred revenue this quarter. On the positive side the increase in naming due to the 1.1 million net ads had an increase. Within authentication or user authentication, we recognized revenue based on a cash basis and we received a large sum due collection efforts from the affiliates, and also the renewal contracts that we're signing are 12 months in length as opposed to 18 months in length. Both of those attributed to about a $3 million decrease. And then as discussed on prior calls, the SSL purchase pattern changes from annually to quarterly, and the overall impact in the macro economy, there is a decline quarter over quarter in the SSL of about $2 million. So net-net you had the inquiry related to the naming and a slight decrease in SSL on purchase pattern buying as well as some of the seasonality from first quarter, second quarter.
Sterling Auty - JPMorgan: All right, great. Thanks, guys.
Operator: And seeing as how there are no further questions I'd like to turn the call back over to Miss Fazioli for any closing comments.
Nancy Fazioli: Thank you, operator. We anticipate that our next quarterly conference call, which will reflect our third quarter 2009 results, will be held on Thursday, November 5th, at 2:00 p.m. Pacific Time. I would like to remind you that in light of regulation FD, VeriSign plans to retain its longstanding policy to not comment on its financial guidance during the quarter unless it is done through a public disclosure. Please call the investor relations department with any followup questions from this call. Thank you for your participation and continued support. This concludes our call. Thank you and good evening.